Operator: Good morning, my name is Jon and I will be your conference operator today. At this time, I would like to welcome everyone to the DuPont Quarterly Investor Call. All lines have been placed on mute to prevent background noise. After the speakers' remarks there will be a question-and-answer period (Operator Instructions) In the interest of time, management requests that you limit yourself to one question and one follow-up question, and please pick up your handset to allow optimal sound quality. If you have additional questions, you may re-enter the queue. Thank you. It’s now my pleasure to turn the call over to your host, Carl Lukach, Vice President of Investor Relations. Carl, you may begin the conference.
Carl J. Lukach: Thank you. And good morning, everyone and thank you for joining us to cover DuPont's third quarter 2013 performance. Joining me are Ellen Kullman, Chair and CEO, and Nick Fanandakis, Executive Vice President and CFO. The slides for today's presentation can be found on our website along with our news release. Please note that we also posted our third quarter segment performance slides and outlook commentary this morning. During the course of this conference call we will make forward-looking statements. And I direct you to slide two for our disclaimers. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We will also refer to non-GAAP measures and request that you review the reconciliations to GAAP statements provided with our earnings news release and on our website. For today's agenda, Ellen will start with opening comments. Nick will review our third quarter financial performance and near term outlook. And I’ll provide business segment insights. We’ll conclude with Ellen’s comment followed by your questions. With that introduction, it's now my pleasure to turn the call over to Ellen.
Ellen J. Kullman: Great. Thank you, Carl, and good morning everyone and thank you for joining us. I am pleased to begin today by highlighting DuPont’s third quarter performance. Our segment results were generally in line with our July expectations, double digit earnings improvements from Performance Materials, Electronics & Communications, Safety & Protection and Industrial Biosciences paired with ongoing productivity initiatives across the company helped to offset the expected earnings decline from our Performance Chemical segment. Operating earnings of $0.45 per share were above our guidance due to a one point reduction in the annual tax rate, gains related to our Pannar acquisition and a joint venture asset both of which we expected in the fourth quarter. However, the strength of the dollar were greater headwinds than we expected. As a result we realized a higher portion of the second half operating earnings in the third quarter in the 40% we anticipated in July. Third quarter net sales about $7.7 billion increased 5%, largely due to 9% higher volumes first at the week prior year. As you may recall, more depository operating priorities is to drive growth in developing market. Against that metric, we delivered solid third quarter results. In developing Asia, we increased sales by 14% compared to last year’s difficult economic environment. Our investments in Research and Development and marketing facing resources continue to pay strong dividends. To illustrate that point, our Performance Materials business delivered 29% higher automotive sales volumes in China this quarter. This progress was due in part to insights from our innovation centers, our local application development capability and our customer focused teams. We also delivered a 24% revenue increase in developing Europe, Middle East and Africa which was broad-based and aided by the acquisition of a controlling in script in Pannar Seed in Africa. This acquisition is another positive step to enhance agricultural productivity and improve total security while accelerating the development of higher performing products for Africa’s farmers. Looking more broadly the macroeconomic environment and in particular global industrial production is improving sequentially, but on a slower pace than we expected three months ago. As a result we recently lowered our global industrial production outlook for 2013 from 2.5% growth to slightly under 2%. Despite the slow growth macroeconomic environment, we continue to capitalize on our unique scientific capabilities to develop differentiated high value solutions that respond to growing global market demand. In summary, our strong and diverse global footprint positioned us well to deliver strong volume growth compared to last year and we’re executing well against our strategic and operating priorities. Nick will now explain in more detail our third quarter financial performance and our outlook for the remainder of the year. Nick?
Nicholas C. Fanandakis: Thank you, Ellen and good morning everyone. Let’s start with the details of the quarter on Slide 3. Our operating earnings for the third quarter were $0.45 per share slightly better than expectations and $0.02 better than 2012. The improvement primarily reflects the acceleration of two events which were expected to occur in the fourth quarter of this year, and equity re-measurement gain related to the Pannar acquisition of about $0.03 per share and a benefit of about $0.02 per share relating to an asset revaluation in a joint venture. These positive items along with the benefit of a one point reduction in our full year base tax rates were some what tempered by a stronger U.S. dollar and the anticipated lower Performance Chemicals operating earnings of about $0.13 per share. The lower Performance Chemical earnings are largely due to the decline in global TiO2 prices versus prior year. We are seeing clear signs that this market has stabilized and we are encouraged by the improving industry fundamentals. Consolidated net sales of $7.7 billion increased 5% versus the prior year. Volume increased 9% led by our Electronics & Communications, Performance Chemicals, and Agricultural segments, which each add double digit volume growth versus a weak third quarter last year. On a sequential basis volumes were up only slightly compared with the second quarter. Local selling prices declined 3% primarily due to lower TiO2 and flour product prices and lower pass-through of precious metal costs in Electronics & Communications, partially offset by innovation driven price increases in our Agricultural segment. Currency also had a negative 1% impact on our top line as the dollar continued to strengthen against most currencies, particularly the Brazilian Real, Japanese Yen, and the Indian Rupee, partially offset by a weaker dollar versus the Euro. For the full year, we now expect a negative $0.18 currency impact which is higher than our previous outlook of $0.12 to $0.14 because during the year the dollar has strengthened considerably versus every key currency except the Euro. In addition to our business performance, our base tax rate for the quarter was seven points lower than last year, contributing $0.04 to operating EPS. For the full year, we now expect a base tax rate of about 22%. Now let’s turn to Slide 4 for more information regarding the Company sales by geographic region. In every region of the world, we had increased sales volumes. However, lower local prices were an offsetting factor. The decline in prices in the quarter generally reflected the impact of our Performance Chemicals businesses in the regions, particularly in developed Asia. Our growth in developing EMEA reflects our acquisition of controlling interest in Pannar Seed, which significantly increased our footprint in South Africa during the quarter. In the second quarter earnings call, we communicated our expectations that industrial markets would gradually recover. As Ellen noted, we still expect to see industrial production improvements, but they are coming at a slower pace. In the third quarter, we saw a growth in Europe and Japan after 2011 and 2012 recessions and we saw some positive signs of growth in China. Overall, we see the global economy improving, but slowly. Now, let’s take a deeper look into our operating earnings for the third quarter. Slide 5 provides a segment operating earnings variance analysis. From this waterfall chart, you can see clearly the large impacts of decline in Performance Chemical segment earnings had on our overall earnings compared to last year. Operating earnings for Performance Chemicals declined $159 million this quarter, the $0.13 per share was in line with our expectations. Performance Materials, Electronics & Communications, Safety & Protection, and Industrial Biosciences each had strong performance and double-digit percent growth versus the prior year, offsetting much of the decline in Performance Chemicals segment earnings. Carl will cover more of our operating segment results in a few minutes. Moving to Slide 6, in total, segment earnings were down $0.05 per share. Segment results include the Performance Chemicals decline we just covered and they also include $0.04 due to currency, which was higher than we anticipated. A change in the base tax rate expectation for the full year also provided a $0.04 benefit in the quarter. The $0.01 benefit from lower corporate expenses that you see on Slide 6 reflects this quarter savings from cost control in our business support functions and the restructuring program we announced last year. We are on track to deliver the $300 million in savings we targeted for 2013. Beyond this restructuring program, we continue to execute ongoing cost productivity initiatives throughout all of our businesses. We are well on our way delivering on our commitment, but more than $300 million for the full year from these initiatives. In total, both initiatives will contribute significantly to offsetting inflation and helping to fund our growth investments. Now turning to the balance sheet and cash on Slide 7, our current free cash flow is about $2 billion greater use of cash versus the prior year. As you know, cash flows are highly seasonable from our growing Ag segment and with sales up more than $1 billion in the segment this year, cash and working capital investments have increased to support that growth year-over-year. The timing of production grower compensation payments, which reflected higher contract commodity prices from last year and the timing of customer prepayments contributed to the working capital increases. The decline in Performance Chemicals earnings also had a negative impact on free cash flow versus last year. Before I close, let me offer a few insights regarding our balance sheet and pensions. First, a reminder; maintaining a strong balance sheet that provides the financial flexibility to fund ongoing operations and compelling growth opportunities remains a key priority for DuPont. Second, our current unfunded pension balance is declining. Given today’s rising interest rate environments and if all other pension related variables, which remain constant. Our unfunded pension liability should decline significantly by about $2 billion to $3 billion by year-end. In summary, third quarter results were in line with our expectations and our lower base tax rate offset the currency headwinds. With these results we are today reaffirming our full year outlook of $3.85 per share. We expect an improved fourth quarter compared to last year’s weak operating results and also anticipate that our Ag segment will have positive earnings, reflective of the seasonal shifts that Carl will discuss in more detail. Additionally, our outlook also reflects a year-over-year currency headwind of about $0.07 per share and dials in a full year base tax rate of about 22%, lower than our previous assumption of 23% to 24%. In closing, we have delivered strong results in the quarter and for the year. We will overcome more than $0.80 of headwinds due to Performance Chemicals earnings and currency. Our teams continue to execute well against our plans and we continue to create increased value for our shareholders. In the coming months we expect to deliver a strong finish to the year. With that, I’ll turn it back over to Carl.
Carl J. Lukach: Thanks, Nick. I’d like to now provide some brief segment insights. As a reminder, the slides in the complete segment commentary are posted on the Investors in our website at dupont.com. Please turn now to Slide 8 and let’s begin with Agriculture segment. We feel great about our results and our performance in this competitive environment. Year-to-date we’ve grown sales 12% and operating earnings 8% over last year’s strong performance. Our right product, right acre strategy in seeds and our innovation focus is delivering value to customers. In the third quarter sales grew 15% based on strong demand for our industry-leading insecticides and higher seed revenues. Our typical seasonal loss lower than last year as sales growth and a gain of $26 million from the Pannar Seed acquisition more than offset higher seed costs. In crop protection, third quarter sales were up 21% with volume growth in Latin America led by strong demand for Rynaxypyr. Expectations for higher soybean hectares also drove demand for fungicides, particularly for picoxystrobin. Rynaxypyr continues to perform well and we are on pace to exceed $900 million in sales this year. Our fungicide portfolio also continues to show solid growth with the highly successful launch of approach our picoxystrobin fungicide product in the United States this year. Moving to the seed business, we had a solid start to the Latin America sales season despite the negative impact of currency and growers reducing corn hectares in favor of soybeans. Pricing gains were led by the continued adoption of Intrasect, our dual-mode of action, insect protected hybrids which will represent about a third of our Brazil corn volume this year. Likewise recent investments in soybeans are paying off as growers in Brazil are increasing demand for locally developed high yielding, high-quality pioneer brand soybeans. The USDA did not issue an October crop report and won’t issue its final 2013 acreage report until January 2014. So it’s too early to be definitive about market share. However, we are pleased with the competitive performance of the pioneer business growing sales 11% through the first three quarters based on the strength of price gains and higher corn volumes in North America. Moving to the fourth quarter outlook for agriculture, we expect a substantial increase in sales on expectations of continued strong performance in both seeds and crop protection in Latin America. Earlier shipment of safrinha corn seed enabled by a recent investments in Brazil and really start to North America seed shipments and a benefit from including our Pannar acquisition. As a result of sales increases in seeds, continued growth in crop protection and lower anticipated seed input costs for the fourth quarter North American sales we expect to achieve a small fourth-quarter profit in our Agricultural segment for the first time. For the full year, we now expect operating margins will be about flat over coming the impacts of the higher seed input costs earlier in the year. Looking forward to 2014, we are watching closely corn and soybean markets and implications for the upcoming safrinha and Northern Hemisphere planting seasons. Several important events will play out between now and when growers put seed in the ground next spring in North America. Specifically, we will see the completion of the North American harvest this year, the harvest of the summer crop in South America and the planting of the safrinha corn in Brazil. Turning to Electronics & Communications on Slide 9, the demand environment strengthened versus the prior year in photovoltaic and this was reflected in our improved results. Operating earnings increased 67% due primarily to higher demand for our Solamet and Tedlar materials in PV. Overall PV market fundamentals are gradually improving, module prices have been stable due to improved utilization rates and the settlement of trade disputes has provided a more stable environment. Global PV demand continues to be led by China, Japan and the United States partially offset by lower demand in Europe. While the PV market is still challenged by the weak underlying financials of many players in the industry, the long-term outlook is positive because PV prices are reaching grid parity in more of the world. Our strategy is to continue to build our position as the premier PV material supplier by stressing the importance of selecting high-value high efficiency materials to extend the life of PV systems which will assist the industry in its drive towards grid parity. For our Industrial Biosciences segment on Slide 10 this year, our sales and operating earnings have grown each quarter and third quarter operating earnings of $45 million were up 13%. On Slide 11, from Nutrition & Health, we continue to see strong demand for cultures and probiotics and we delivered good results in protein solutions. Moving ahead to Performance Chemicals on Slide 12, the 25% year-over-year TiO2 volume growth in the third quarter was another positive step in the recovery. We have now recorded three consecutive quarters of year-over-year and sequential volume growth. Additionally, all regions delivered double-digit volume improvements. Europe and Asia were particularly strong. While fourth quarter segment earnings are still expected to be modestly lower, this represents a significant improvement compared to the 51% decline we experienced to the first three quarters. We see industry fundamentals improving and our strong manufacturing technology advantages remaining intact. For Performance Materials on Slide 13, third quarter results benefited from higher volumes in automotive, electronics and packaging markets. Year-to-date we have delivered three consecutive quarters of earnings growth accompanied by increases in operating margins. Finally, in Safety & Protection on Slide 14, we are seeing volume improvements in U.S. ballistics military protection, certain industrial segments, garments and construction. Our targeted efforts to drive demand generation coupled with ongoing productivity measures are delivering results and improving our financial performance. Third quarter earnings were up 16% versus last year and we now have delivered three consecutive quarters of operating margin growth in this segment. With that, I’ll turn it back to you, Ellen.
Ellen J. Kullman: Great. Thank you, Carl. Now I’d like to provide some insights on our earnings expectations and I’ll conclude with an update regarding the strategic evaluation of Performance Chemicals. As Nick highlighted, we do anticipate our full year earnings will be about $3.85 per share. To put that in perspective we expect to have a full year headwind from the combined impact of lower Performance Chemicals earnings and negative currency of more than $0.80 per share. Excluding these factors, our full year earnings per share increase will be 24% higher than last year in a slow growth global economy. While we maintain a cautionary macroeconomic stance it’s noteworthy to highlight that we do expect fourth quarter earnings should more than double from last year’s weak results. For 2014 planning we are now beginning our business by business goal studying and execution review work. Across the portfolio we initiate this process with a macro assumption that global economies will continue to gradually improve from this year’s sluggish industrial production base. To meet our future commitments we will drive performance across the company by remaining focused on our three strategic operating priorities. They are: increasing return on research and development, capitalizing on our global reach and driving execution while delivering on our productivity commitment. First, we will deploy our science to meet today’s customers’ needs, build a strong and balanced pipeline of new products and increase the return on our research and development investment. Second, we will build on our strong third quarter performance in emerging markets and capitalize on our global reach. And third, we will execute against our commitments to drive productivity and deliver cost savings that will help offset inflation and fund growth initiatives. On the innovation front we successfully delivered 470 new products to meet customer needs in the third quarter alone. Examples of our innovation, this quarter included new applications of Kevlar aramid fibers for high strength, durable, conveyor belts for safety and protection. New branded probiotics designed for pediatric nutrition from our Nutrition & Health segment and new product blends of extra enzymes from Industrial Biosciences designed to reduce cost and improve nutrition in animal feed applications. Now turning to Performance Chemicals, I’d like to provide a brief update on our evaluation of strategic alternatives. Since our July announcement we’ve made significant progress in our effort to evaluate a wide range of options. Our primary objective is to identify the alternative that creates the most value for our shareholders. Comprehensive evaluations have progressed well and we’re carefully reviewing key considerations including future CapEx growth, dividend, debt levels, pensions and taxes along with a host of other key variables that we know are important to our shareholders. We are moving with a sense of urgency. In the interim, we remain focused on delivering results today. Our strategy is clear and it’s working. We have created and are strengthening world leading positions in agriculture and nutrition, biobased industrial and advanced materials. We’ve made good progress with the first three quarters despite challenging conditions that are executing successfully against our strategy. So with that, Carl back to you.
Carl J. Lukach: Thanks, Ellen. Okay. Let’s open up the line now for your questions.
Operator: Thank you. We will now begin the question-and-answer session. All lines have been placed on mute to prevent any background noise. (Operator Instructions) Our first question comes from Vincent Andrews from Morgan Stanley. Please go ahead with your question.
Vincent Andrews – Morgan Stanley & Co. LLC: Thank you and good morning everyone. Ellen, I asked this last quarter, maybe it was a little premature. But do you have any sense of the seed cost tailwind you’ll have in corn next year or now, maybe with some of the harvest just come in and you might have a better sense of what your cost build is going to be for next year in corn?
Ellen J. Kullman: So seed cost for next year, we’re still gathering all the data and like that. Maybe we are getting little better yields than we have thought than we had last year. So we’re looking, I don’t know, maybe 1% type of things with commodity prices down.
Vincent Andrews – Morgan Stanley & Co. LLC: Okay. And then just as a follow-up, any sort of sense of how the pricing environment in South America is going on both the corn and soya side, are you seeing any unusual behavior from any of your competitors who are just in the market in general?
Ellen J. Kullman: No, we are not really seeing any unusual competitive behavior. I mean, we’re seeing that the economics are causing growers to really think about what they are doing. The shift from corn to soybeans in the summer than looking at the prices on the corn is down there and what they are going to do for the safrinha planting. So we keep a little bit of close start to that, but I don't see anything from a competitive standpoint.
Operator: Thank you. Our next question comes from John Roberts from UBS. Please go ahead. 
John E. Roberts – UBS Securities LLC: Thank you. Can you hear me?
Ellen J. Kullman: Yes, John. How are you?
John E. Roberts – UBS Securities LLC: Good, thank you. Yourself?
Ellen J. Kullman: Good.
John E. Roberts – UBS Securities LLC: I am interested in the European volume number because I believe TiO2 is smaller for you in Europe and Electronics is smaller, and Ag is seasonally smaller in the third quarter. So that probably negative best industrial read that you’ve got in terms of your volume statistics you gave and Europe was up 10% I think year-over-year and it was only up 5% last quarter. So could you comment on that acceleration?
Ellen J. Kullman: Yes, sure. So again, I’ll separate it first. So if we were up 10% – 16% we were up in volume and developing. Europe, Middle East and Africa developed Europe with seven. Developed Europe we benefited from improvements in TiO2, in Performance Materials, and Industrial Biosciences and Ag. So we had – those four businesses, those four areas saw improvement in developed Europe. Same thing on developing Europe, more emphasis I think on Ag and TiO2. So this is something we're watching very closely. We see it progressing, in a way it’s been surfing along the bottom for so long. But I think it is a real testament to our new products and product progression that we’ve made in agriculture and the investments we’ve made in developing Europe and I think we’re seeing the results of that investment.
John E. Roberts – UBS Securities LLC: And then just a follow-up for Nick. Nick, the tax rate for the year-to-date number is 23%, your guidance is 22% for the full year, why didn't you true up to 22% in the year-to-date numbers?
Nicholas C. Fanandakis: We did John true up to 22%. That’s what you saw in the $0.04 number there, the benefit. And what we will now see is the fourth quarter impact of that same 22% versus last year's tax rate. This is very dependent on as you know current geographic mix and how the quarter actually plays out. But year-to-date the last year was 23% and we were actually – last year it was 24% and year-to-date this year is 23.1%.
Operator: Thank you. Our next question comes from Robert Koort from Goldman Sachs. Please go ahead with your question.
Neal P. Sangani – Goldman Sachs & Co.: Good morning. This is actually Neal Sangani on for Bob. A question on the U.S. seed and the growth of the direct farmer approach. Is that something that is going to lead to lower costs?
Ellen J. Kullman: Well, we’ve had direct to farmer forever and we have invested in it over the last few years, I think that’s been that in the product progression has really enabled us to gain the share that we’ve gained in North America in those corn and soy. We believe in that Right Product Right Acre strategy making sure that we're working directly with the farmer. What hybrid, what seed size, get on their first choice, get it in the barn. And I think that’s made us success, and well that what place it makes it more stickier with the farmer and really creates efficiencies in our supply chain. So it allows us to plan a lot better since we have that detailed knowledge and the mapping on those acres.
Neal P. Sangani – Goldman Sachs & Co.: Okay, and Syngenta talked about producing too much seed this year, as far as some write-downs. Is that an industry issue or you all see something similar?
Ellen J. Kullman: No, write-downs are a normal part of the seed business, they happen every year. We’ve seen our seeds yield, this year it’s a little better than last year, but not hugely better. And we expect write-downs in the normal historic range. We don’t see anything unusual there.
Operator: Thank you. Our next question comes from Jeff Zekauskas from JPMorgan. Please go ahead.
Jeffrey Zekauskas – JPMorgan Securities LLC: Hi. Good morning.
Ellen J. Kullman: Hi, Jeff.
Jeffrey Zekauskas – JPMorgan Securities LLC: Hi. I was wondering Ellen, if you could review the reasons for why you’re exploring strategic options for titanium dioxide for Performance Chemicals, why it might create value to separate the business off? And if you could also review the arguments against it, that is why you might keep it, what lead to the current structural change?
Ellen J. Kullman: Well, certainly if you think about the focus that we’ve had since the beginning of 2009, right and when this leadership team came in, the global financial crisis, and I’ve talked about this often as every boat on its own bottom. The businesses, why we change the segment reporting to get great clarity on how our Ag business is doing, how our paint business is doing, how our chemical business is doing. We established distinct goals from a growth and a margin expansion for each one of those and are on that track. We’ve been as we came out of those financial crisis really took a look at how science makes the difference in creating a differentiated transition in the market play. And clearly as you saw with the disposition of our paint business we really felt that there was a limited opportunity for science to make a difference there and we took the actions that we did. If you look at Performance Chemicals, it’s a strong set of business with good margin. We’ve seen in the last year the volatility of that set of business is $0.65 a share down this year to date I think it’s the correct Nick can correct me if I’ve got a little wrong.
Nicholas C. Fanandakis: It’s right.
Ellen J. Kullman: And it’s been a headwind this year. So you’ve a commodity set of businesses, you’ve got volatility and low growth. That was about a GDP kind of growth business. So the question, what will does that have in our portfolio and that’s what the Board and management is discussing. And so, from the positive side it can create cash. On the negative side, it creates great volatility. And so at the end of the day, I think that we have to understand what is that that’s for our shareholders, how do we create the most value there.
Operator: Thank you. Our next question comes from Don Carson from Susquehanna Financial. Please go ahead.
Don D. Carson – Susquehanna Financial Group LLLP: Thank you. One question on Ag, you hit on the top line, you hit strong growth this year and you get 12% on a year-to-date basis. If you can just give us a sense of what price, what volume, what currency hit you’ve taken? And more importantly, what’s the sustainability of these gains in to next year, what are your expectations for example on pioneer pricing in the U.S. market?
Ellen J. Kullman: Yeah, thanks Don and we’re making great progress in agriculture this year. Currency has been about a 2% DuPont headwind of that 12%. And so volume and price, we’ve hit a little more price than volume given the new product and that product mix has really been driving our price gains. And so price is a little heavier than volume, but we’ve had strong volume progression. We grew volume in North America in corn. We’ll have all those. We’re pulling together all those numbers. If the USDA had only reported in October we’d be in a little better position than in talking about the total. But I think that we’re really making real confidence in business and really making progress. So now we’re heading into Brazil and last year we gained three points a share both in summer and the perennial season in corn. We’ve made a lot of investments in there, in the plants in supply chain improvements down there and I think we’re going to see great progression there as well.
Operator: Thank you. Our next question comes from Kevin McCarthy from Bank of America Merrill Lynch. Please go ahead.
Kevin W. McCarthy – Bank of America Merrill Lynch: Yes, Ellen just a follow-up on your strategic review of Performance Chemicals, I think you’ve mentioned in your prepared remark, you’re moving with a sense of urgency. Would you care to offer any update on timing of the decision and whether or not you’ve narrowed down the options in terms of whether the businesses might be separated together with each other or apart from each other and the form of possible separation if you decide to go down that path?
Ellen J. Kullman: Yes, so we’re looking at lot of different options. We are operating with a sense of urgency and we want to get this done as quickly as we can.
Kevin W. McCarthy – Bank of America Merrill Lynch: Okay, follow-up, this may on Ag, you mentioned on Slide 8, that you anticipate an early start to North America seed shipments, it surprised me a little bit I guess growers seem to be getting orders in quite early the last two years, do you expect it to run even earlier this year and if so, how much might be pulled from 1Q in your estimation?
Ellen J. Kullman: I think that’s a little hard to estimate right now. We do see an interest in making sure the farmers get the right hybrid, the right seed size, get their first choice, get it in their barn. And so we’re seeing a little bit more activity there this year than maybe we saw last year and again I think that with the moderating commodity prices people are very interested in understanding that they are going to get the deal that they need to make the economics work for them. We’re also seeing a lot of interest in AQUAmax. We’ve really increased the acreage there. This year we’re excited to see I guess in three weeks, Paul Schickler will be out talking about how the season has shaped us for us. We talked a lot of that last week and I was very, very excited to see the performance that our growers are staying in the field. So I think there will be good news in a few weeks.
Operator: Thank you. Our next question comes from David Begleiter from Deutsche Bank. Please go ahead. 
David I. Begleiter – Deutsche Bank Securities, Inc.: Thank you, Ellen very good results in Performance Materials, first in the top line you mentioned the China what’s driving that very strong growth in China volumes for Performance Materials?
Ellen J. Kullman: Yes, volumes are up by 18% in China and what we’re seeing that is an automotive, I mean automotive is very strong, if the whole world in automotive is only growing 2% this year, China will be up 10%. And we are making great progress with our penetration, our application development, and light weighting vehicles and the advanced plastics and even in S&P we are seeing some uplift on Kevlar actually in the automotive application. And so it’s really China is the story of auto, electronics and the industrial and we’re seeing progression there versus what this time last year was a very weak quarter.
David I. Begleiter – Deutsche Bank Securities, Inc.: And also in the performance very good market as well 22.5%, where do you think margins can go or should that be sustained here at these levels in Performance Materials going forward?
Ellen J. Kullman: So Performance Materials, we’re seeing lot of strength based of our packaging materials and the penetrations that we’ve made. We have long-term estimates that are lower than the 23% right now. If you look at it across the entire ray, but high-teens kind of thing but this is something that we are challenging the team to do. We are challenging the team to really understand the new products and the penetration there and what can be achieved to help differentiate that we are in this market. So I’m very excited about what this team is doing in Performance Materials.
Operator: Thank you. Our next question comes from P.J. Juvekar from Citi. Please go ahead.
P.J. Juvekar – Citigroup Global Markets Inc.: Yes, thank you and good morning. I think in your press release you mentioned about your TiO2 ore contract, what’s the timing of the TiO2 resource and do you have any significant contract that’s sliding in 2013?
Nicholas C. Fanandakis: Hi, Nick here, so P.J. when you look at our supply position around over ore there, we have staggered contracts so not everything expires at one time, but as those contracts have expired as of recent when we’ve gone out into the marketplace. We have seen a higher cost in our ore costs as a reason, but we are still very advantage from an ore perspective versus the competitive set, given our ability to consume the low-grade ores and produce the high quality TiO2. So we’ll continue to have that accrue over time, so there will be contracts ending as we renew others, but in a macro sense we remain very advantage there.
P.J. Juvekar – Citigroup Global Markets Inc.: Thank you. And my second question is a follow-up on seed pricing, what kind of seed pricing do you actually achieve in Latin America this year, and what’s the expectation for good U.S. seeds? Thank you.
Ellen J. Kullman: So from a standpoint of seed pricing in Latin America, it’s being driven by Intrasect. It is really a mix, so as we get more and more penetration and find the Intrasect product into corn in Latin America, you're seeing a positive impact on price. And we're seeing at this point, you told about yield and what a farmer can get Intrasect, I expect this year is going to be probably a third of our volume and continue to make progress. In the U.S. it is a little hard to say right now, I mean I think mix is again going to be a driver and it is going to from a product standpoint and where farmers think they can get the best deal.
Operator: Thank you. Our next question comes from Mike Ritzenthaler from Piper Jaffray. Please go ahead.
Mike Ritzenthaler – Piper Jaffray, Inc.: Good morning. In fact a couple of questions on Ag, in fact first one is how the last two seasons in Latin America, can you elaborate a bit more on what’s driving interest in the Latin American crop chemistry piece. Overall acreage growth is up, but it doesn't seem like it’s quite enough to substantiate sort of the outlook of the new products or is there something more specific.
Ellen J. Kullman: Yes, a smart thing what you're seeing is the benefits of Rynaxypyr is creating around that really heavy insect pressure down in Latin America. It is phenomenally effective. It is very efficient and it’s very low toxin, very human friendly. Our team there we kind of always question them very deeply about their revenue progression because now we are saying that globally Rynaxypyr is going to be above $900 million in revenue in 2013 and it didn’t even exist five years ago. And I think that’s one of the really strong proof points around the power of combining chemistry and biology, really understanding the biology of the bug and how the chemistry can create that real advantage. And farmers are anticipating heavy pest pressure in Latin America this year and they are taking action on it. And we are seeing that in the volume numbers in our agriculture segment.
Mike Ritzenthaler – Piper Jaffray, Inc.: And then as a follow-up, Ellen, what do you see is the best way to value the Ag business or what is the best way to incorporate the value of the Ag business more appropriately in DuPont to stock price?
Ellen J. Kullman: Well, I think that what you’ve seen in the last few years is tremendous performance in our Ag business, against our competition. We’re winning in the marketplace since 2008, 10 points a share gain in beans in North America, six points in corn. Margin expansion, I think you’ve seen if you look at our stock price over that time, I think you will see our total TSR is I don't know 180% – 182% versus the S&P for I don’t know about 107%. So I think we’ve seen, since we’ve created a very strong position in Ag coming off of 2008 till now. I think we have seen – are competing in the marketplace, are winning in the marketplace. And I think that you’ve seen that reflected in the TSR that our shareholders have experienced since then.
Operator: Thank you. Our next question comes from John McNulty from Credit Suisse. Please go ahead.
John P. McNulty – Credit Suisse Securities LLC: Yes, good morning. With regard to the strategic review in Performance Chems, it looks like you and the Board have really been kind of trying to figure out, does it really fit in into the benefit of the Company. In this process, have you and/or the Board thought about other assets within the portfolio to see if they also make sense in the overall platform to DuPont?
Ellen J. Kullman: Yes, so, we as you know instituted in the last 4.5 years very strong portfolio analysis process with our Board, with management and with the Board. We look at it every quarter from a management standpoint. We take the Board through it on a consistent basis, understanding how value is derived from each one of our major product areas. You see some minor adjustments like in crop protection, well sell mancozeb or something like that you will see majors like the disposition of our Performance Coatings and it’s a very active process. We consider the competitive environment. We consider how science can really make a difference from a competitive standpoint and win in the marketplace because that’s the key. And I think we take that very actively as you see from the discussions what we announced in July that we are looking at strategic alternatives for the Performance Chemicals area and we will conclude that.
John P. McNulty – Credit Suisse Securities LLC: Great. And then just as a follow-up, when you look at this major kind of geographic regions, it sounds like Europe is maybe doing a little bit better, China I think in the opening remarks, it was indicated, that’s starting to maybe reaccelerate and yet you pulled down your kind of global industrial production forecast or I guess where are you seeing the incremental weakness relative to some of those areas that you highlighted.
Ellen J. Kullman: Yes, I think well, the economists are projecting, they were projecting pretty aggressive industrial production for 2013 and it turned out to be lower than that. So I guess in the beginning of the year they got enough, you can remember it was in the high 2s.
Nicholas C. Fanandakis: Yes, almost 3%.
Ellen J. Kullman: Yes, almost 3%.
Nicholas C. Fanandakis: Now it’s just below 2%.
Ellen J. Kullman: Just below 2%. So I think that’s a reflection of the global economy. We are seeing great pass, when you think about automotive, it’s only up 2%, but it’s up 10% in China, it’s going to be 5%, 6% in North America.
 : But, so I think when you put that a look, industrial production is little less than what we saw at the beginning of the year, but obviously with our new products that we have introduced and our focus on the marketplace, we are going to figure out regardless of the environment, focus on how we can win.
 : But, so I think when you put that a look, industrial production is little less than what we saw at the beginning of the year, but obviously with our new products that we have introduced and our focus on the marketplace, we are going to figure out regardless of the environment, focus on how we can win.
Operator: Thank you. Our next question comes from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander – Jefferies LLC: Good morning. Two questions; first, on the Nutrition & Health business, can you elaborate a little bit more on what’s driving the weak volume performance and when you think you will be back to a more sustainable growth trajectory? And then on Agriculture, could you give an update on the 360 program and I think more broadly, are you seeing any evidence that data intensity or is actually driving pricing power and wallet share gains in the Ag sector or is it just one more way to maintain tuft for the customer?
Ellen J. Kullman: Yes, so I think what you have to consider on the Nutrition & Health is that, we shutdown some assets last year in one of the product lines that were not productive, and so part of the negative volume is the fact that we actually don’t sell in those low-end commodity areas anymore. So our volume is down. And as we continue to drive towards the more differentiated areas like cultures and probiotics, we’re really making great progress, actually with the startup of the plant in China. So I think there are good transition that’s going on there and that you are going to see as we come through this and a real focus on taking these assets and making it much higher quality from that standpoint. From the 360, the whole purpose is to drive yield improvement and today it is subscription based. We’re working with the customer with the tools in order to be able to map and to be able to understand how big you can get more from using data as – big data, you’re fine, right. We’ve got, I think 1.5 million acres under variable rate seeking prescription this past spring and we continue to see how the data and the tools can even further enhance our historic strength in white product, great market. And so we see it as a natural progression, our go-to-market strategy, because at the end of the day it’s all about the farmer and that’s what we’re good at.
Operator: Thank you. Our next question comes from Mark Connelly from CLSA. Please go ahead.
Mark W. Connelly – CLSA Americas LLC: Thanks, Ellen. Given the 40% volume growth in Electronics & Communications and the share gains that came with it, I wonder if you can give us a sense of what products are driving that. If I remember correctly your PV installation expectations are lower now than they were at the beginning of the year. So I’m trying to get a sense of what the overall balance is. You picked up share of what looks like a smaller overall market.
Ellen J. Kullman: Yes, so the improvement year-over-year in electronics in the third quarter is driven off of PV, which is Tedlar sales and Solamet metallized paste. We’re also seeing some cap fund, kind of improvement as you see new smartphones and things like that come out. But just take Solamet paste, the sales were up 42% year-over-year and Tedlar was up, I think over 70% year-over-year. So I mean, you’re coming off of a real low point in the third quarter last year and we’ve been on a campaign. I think our team has done a great job in that industry focused on materials matter. That materials are huge part of creating not only the efficiency to sell the module, but the lifetime of the module And so I think if you’re seeing the share gain based on that. Dave always said this is a lumpy market. So with him I’m going to hold my breath, but I think you see the focus and the progress that’s being made there.
Mark W. Connelly – CLSA Americas LLC: Okay. And just a follow-up, I’m trying to understand the cash flow of the Imprelis payments. If you are right about the overall $1.2 billion, if I remember correctly the insurance is about $700 million, but has that already paid out or does that pay out later? I’m just trying to get a sense of what the cash flow impact might be.
Ellen J. Kullman: Nick, why don’t you take that one?
Nicholas C. Fanandakis: Yes. So when you look at the cash flow thus far in the way of payments from the insurance companies, we’ve had our first insurance payment of $25 million. So that’s what we’ve seen to date and that’s something that will now progress as time goes forward. You know what the accrual is to date and you can see what we put in the press release as the ceiling.
Operator: Thank you. We now have Chris Nocella online from RBC Capital Markets. Please go ahead.
Chris J. Nocella – RBC Capital Markets LLC: Hi, thanks. Good morning. Nick, just sticking with cash, both your share count and cash balance moved higher in the quarter. So can you remind us how much you have left in your share repurchase program and why you aren’t little more aggressive on this front?
Nicholas C. Fanandakis: Well, we continue to be very active in the share buyback arena. We bought over $1 billion this year and if you look back over time, over the last, well I’d say since fourth quarter 2010 time period, we’ve brought back over $2.3 billion worth of shares. So it’s not something that we don’t exercise and utilize. We have and we will continue to do so. We have a program, an active program where we still have $1.7 billion left available to us for share buyback. We’ll continue to execute against that. As I’ve said before, it’s not a one-for-one sort of thing, but we will continue to utilize that program and continue to make sure we maintain a valid share count there.
Operator: Thank you. We have Duffy Fischer online from Barclays. Please go ahead.
Duffy Fischer – Barclays Capital, Inc.: Yes. Good morning. Continue to be presently surprised with the Cyazypyr and how that’s growing. You are now calling for that to get to a 1.5 billion from 900 million, which is probably about 20% growth rate. Which derivatives of Rynaxypyr are going to drive that next 600 million? And then what would the incremental margins on that growth look like relative to what it’s delivering today?
Ellen J. Kullman: Yes, I think that – so Cyazypyr is just now being registered around the world. So we’re going to see next year uptake in Cyazypyr. I also think the seed treatment Dermacor and Lumigen are going to have tremendous additions to those and I think the margins are going to hold. I think we’re seeing equal value from the newer chemistry Cyazypyr and the seed treatment area as well. So we see it as really just a tremendous progress being made by that business.
Operator: Thank you. We have Mark Gulley online from BGC Financial. Please go ahead.
Mark R. Gulley – BGC Financial LP: Good morning. You talked about some headwinds for this year in terms of certain items. How much of a headwind will higher tax rate possibly be in 2014 versus the 22% tax rate baseline you’ve seen for this year?
Ellen J. Kullman: Well, I think it’s a…
Nicholas C. Fanandakis: We haven’t sized that yet, Mark for next year on the tax rate and expectations on that. Right now we’re saying as we’ve stated that this year is going to be the 22% and a lot will depend on the mix and the forecast we have from the businesses as we go through our reviews around execution and objective setting for next year within the businesses.
Mark R. Gulley – BGC Financial LP: And secondly, you did provide some volume information with respect to the TiO2 business. I’m wondering if you can approximate the size of the price movement year-to-year and what it might look during the fourth quarter?
Ellen J. Kullman: No, prices are a competitive issue in that marketplace and they can see from the standpoint of what our earnings have done, where price must be, but I think that’s an industry issue.
Operator: Thank you. Our last question comes from Frank Mitsch from Wells Fargo Securities. Please go ahead.
Frank J. Mitsch – Wells Fargo Securities LLC: Just another wire, hey I wanted to say that I appreciate the segment commentary pages. That was very helpful.
Ellen J. Kullman: Well, you said that last time too. So we forced you by sending it out again.
Frank J. Mitsch – Wells Fargo Securities LLC: I’m consistent, keep it coming. Keep it coming. Hey, Nick you mentioned that the unfunded balance is going to be down about $2 billion to $3 billion in the fourth quarter. Assuming that the current rate assumptions fall together, your pension was like $0.46 negative in 2012, $0.40 this year, what should we be thinking about ballpark for 2014?
Nicholas C. Fanandakis: Yes, Frank it’s too soon to talk about that piece of it, because what you’re talking about is the accounting side of it there and lot of things still have to play out by year-end. I will say my guess is, it’s going to be lower again, but I just don’t have it sized yet at this point, Frank.
Frank J. Mitsch – Wells Fargo Securities LLC: All right, so we’re… 
Ellen J. Kullman: Yeah, we’ll open that out, what he have…
Nicholas C. Fanandakis: Yes, as we get closer to year-end, Frank, I will be able to give you a better view on that.
Frank J. Mitsch – Wells Fargo Securities LLC: All right, great. And Ellen obviously your balance sheet is not stressed, what should we be thinking about in terms of the M&A pipeline that DuPont has and can we see some action taking place there in the near-term?
Ellen J. Kullman: Yes, I think, Frank, we’ve been real consistent on how we talked about the M&A pipeline. We are looking for things either from a science or technology standpoint that really can advance the positions that where we are. And or geographic cover it’s like you’re seeing in Pannar, I’ mean Pannar brought not only geographic covers but a broader local genetics that we’ll be able to take advantage of to continue to penetrate Sub Saharan Africa. We continue to look in areas in advanced materials, in structural biosciences and Ag’s but as you know we have a pretty hard bar on what our expectations are from an M&A standpoint. So it’s a very competitive market out there and we continue to look to see how we can grow, enhance our growth and our returns through M&A and so we’ll keep you posted.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.